Disclaimer: *NEW* We are providing this transcript version in a raw, machine-assisted format and it is unaudited. Please reference the audio for any questions on the content. A standard transcript will be available later on the site per our normal procedure. Please enjoy this timely version in the interim:
Operator: [00:00:03] Greetings and welcome to the Ideanomics third quarter 2020 earnings call. At this time, all participants are in listen only mode. A question and answer session will follow the formal presentation if anyone should require operator assistance during the conference, please press star zero on your telephone keypad. Please note that this conference is being recorded. I'll now turn the conference over to our host, Tony Sklar, vice president of communications and head of investor relations. Thank you. You may begin.
Tony Sklar : [00:00:35] Good afternoon and good evening, everybody. Thank you so much, operator, and welcome to Ideanomics third quarter Twenty twenty earnings conference call. Joining me on the call today, I am pleased to have Mr. Alfred Poor, chief executive officer, and Mr. Connor McCarthy, our chief financial officer. A webcast of today's call will be archived in available in the advance and presentation section of our corporate website for a minimum of 30 days. As a reminder, this conference is being recorded. During the call, we will make forward looking statements such as dialog regarding our revenue expectations or forecasts for the quarters and full fiscal year twenty twenty in twenty twenty one related to our business. These statements are based on our current expectations and information available as of today and are subject to a variety of risks and uncertainties and assumptions, results, a different material. And as a result of various risk factors that are described in our periodic filings with the FCC, as a result, we caution you against placing undue reliance on these forward looking statements. We assume no obligation to update any forward looking statements as a result of new information or future events, except as required by law. [00:01:43] In addition, other risks are more or more fully described in our ideas. Nomics public filings with the US Securities and Exchange Commission, which can be reviewed at w w w dot escargots today, November 9th, Twenty twenty. The company filed a TENGKU with the SEC and afterwards issued a press release announcing its financial results. So participants on this call, who may not have already done so, may wish to look at those documents as we provide a summary of the results on this call. The format of today's call will be as follows. Mr. Al, for our CEO, will speak to the company's overview of the business strategy, as well as the activities and developments for the third quarter and the fourth and for fiscal twenty twenty. Mr. Clinton MacCarthy, our CFO, will speak to the company's operating and financial results for the third quarter and then all of our investment community services in the Q&A time. I will now have the conversation over Mr. Ilford for our CEO.
Alfred Poor : [00:02:40] Thank you, Tony, and thank you to everyone joining our call today. I'm going to begin by talking about our results in Q3 and follow that with some remarks about our Q4 and our business as we head into twenty twenty one. In Q3, we saw the quarter of a quarter growth we had referred to in our last earnings call, unit deliveries was significantly up, which resulted in revenues increasing a little under two and a half times versus the second quarter. A taxi ride share business unit continue to be the driver of this growth as the consumer led economy in China came back strong in the second half of the year. We've been working hard, as I mentioned at a recent AGM, to get the financing solutions in place to unlock our pipeline to big ticket holders such as trucks and busses. And we've made some significant progress there already, too full, which I will discuss in more detail shortly. In terms of the broader TV industry, the industry seen a significant uptick in passenger car sales, and this is driving interest in inquiries from commercial fleet operators outside of China, which was previously the only meaningful market access globally. We expect those inquiries to translate into demand, the launching of commercial paper markets as we move into Twenty twenty. Well. [00:03:50] One of our priorities as we close out Twenty twenty is to unlock the oil, the pipeline, we have a larger ticket items, as I discussed previously, the key to executing on these householder's is innovative financing programs. There is a dynamic taking place in the China market away from financing the finished product of the vehicle and battery together and towards financing the vehicle and battery separately. In order to achieve this, we've had to restructure relationships with our federal partners and those partners bringing the capital into our funds. There are two funds in progress at this time, one of which is likely to be finalized within November and the second shortly thereafter. The funds will focus on vehicle leasing as well as batteries as a service subject you've heard me speak about several times recently. Once online, these funds will enable us to confidently place the orders with manufacturers who are every bit as keen to see these orders moving as our customers, shareholders and of course, the management and staff for working hard on these deals every day in terms of Q4. We're already seeing strong growth in deals sourced by our sales teams in Hanzo and Qingdao, many of whom are recent hires. I'm pleased to tell you that we've been successful in attracting sales, talent with experience and commercial fleet sales, and our pipeline is already beginning to show the benefits of expanding our sales operations in China. We've worked incredibly hard to put the systems and processes in place to scale A-S operations and this is bearing fruit already. Many of you are anxious to see how fast and truck sales come online, and I am pleased to announce that we have begun to execute one of our orders, which involves the conversion of diesel busses. [00:05:26] And we conclude the deal in Q4 to supply the batteries and harness equipment utilizing Seattle battery supplied by our energy division. The initial order is for 13 busses. That's part of a larger rolling order for fleet conversion that will continue through to full and into twenty twenty one as the bus operator has to take the busses out of service in order to do this work. So that's why you'll see the numbers like similar to what this additional 13 will be will be 10, 15 or 20 at a time. We have another order we're expecting in December, a similar number. And for those customers who are converting rather than replacing the batteries and harness equipment are expensive, but it's cheaper than replacing the newer busses in the bus operators rolling stock. And we're excited to have this revenue activity in the bus segment of our business. A three electric business unit is currently placing orders with its manufacturing partners for the first tranche of one thousand plus units, and this will enable them to begin fulfilling sales in major markets where we have strong orders, including Thailand and Indonesia. covid-19 hit Malaysia hardest. Global operations for the ports are now open to robust measures to counter the coronavirus. And we expect big things from that business unit in twenty twenty one. As I mentioned at our AGM, we have a CFO joining the Sri Lankan team in a few weeks time and he brings rich experience and big order that will help us with everything from supply chain through to the development of our land in the port area. As you will recall, we acquired title to the land earlier this year and this is a strategic part of our plans for rhetoric and its ability to reach scale to meet demand throughout the ASEAN region. As we detailed in a recent shareholder meeting, we are progressing with our midweek motorways business and expect to have the first be the truck sales and other vehicle types waiting to start the homologation process necessary for sales in North America. We're encouraged by the fact we are already getting inbound leads from commercial freight operators both in North America and other non China markets, so we feel we are where we need to be in terms of timing. For the introduction of AMADI to brand conversations are taking place in areas ranging from supply chain to the sales distribution partners, and we'll keep you informed of major developments as they occur. [00:07:39] I'd like to point out, in case it's not obvious that our big business unit will support the teaching to electric in terms of financing batteries is service and charging services as an expansion of its China based activities. We believe Negs SWC model will translate well to our global markets. So Meg will be available not only to support Amethi through electric brands that are outside of China, but also to support the needs of commercial fleet operators with the full range of vehicle types and manufacturers. That leads nicely into our next topic on October 22nd, we announced that we invested in California based track, the company Selectric. Our investment got us a little under 50 percent of the company as a reminder, Selectric builds and sells one hundred percent battery powered electric tractors as a clean alternative to diesel tractors. They supply these to farms, vineyards and other types of land operations. The investment allows us to participate in the global agricultural track, the market, which is valued at seventy five billion with the north, the market in North America alone expected to reach 20 billion by twenty twenty three. This was a great investment at the right time because we believe the specialty vehicle market will be one of the fastest growing sectors and sectors and commercial TV. This is due to the fact that tractors and other specialty vehicles typically don't have concerns around range anxiety, vehicle white and shouting network infrastructure for long haul vehicles to. Strategic Investments ElectraNet is aligned with the M&A strategy, which must fulfill the following criteria, must be synergistic. There's something proprietary, have a proven viable product and have existing sales. That is a great fit for a specialty vehicle and heavy truck division with the Shimoda. The company currently boasts both awarded and pending patents, three electric to models with another design stage as well as sales and an active order book. [00:09:29] So we're very excited to have three electrics in the family. In terms of general operations, Conor McCarthy will cover that in this segment, but I'd like to say that as we add staff to bolster insider activities, Connor and his team are taking a disciplined approach to our expenses. We continue to help us streamline their operational costs. This includes the best known assets, such as the village property, which is beginning to receive qualified interest. In conclusion, I'd like to say that we are pleased with our progress and our achievements are only possible through the support of what is truly a global Asia-Pac family of strategic partners, employees and shareholders. This has been a pivotal year commercially. They have gained mainstream attention and we anticipate this segment will begin to show the type of growth we have seen in passenger cars. The future looks bright for TV industry, and I'm confident that economics is well positioned to take advantage of that global trend towards zero emission vehicles. This will allow us to generate sustainable revenue growth and shareholder value. Thank you very much. Now I'll hand over to our CFO, Conor McCarthy, to review our financial performance in Q3. [00:10:37] Thank you, The third quarter was one of the strongest quarters that I have had in terms of financial performance. The highlights for the quarter and continued strong revenue growth, production of one point six million annual operating expense through continued disciplined expense management at the end of the quarter with twenty seven point six dollars million in cash. We have an active M&A and investment program to support our organic growth initiatives. I would now like to discuss the financial performance as detailed revenue for the third quarter with ten point six dollars million for almost all of which was generated by the company business in the third quarter. Revenues are the largest since the public comments to TV activities that are two point three times greater than the revenues for quarter to Twenty twenty and three point four times the third quarter of 2013. We delivered six hundred twenty six units in the first quarter versus 97 units in four to 22 Twenty twenty, this excellent result demonstrates that the investment made of our China based sales team of the infrastructure needed to support them was generating a very high return on investment and give confidence to the plans that we have for further investment to continue to drive material levels of quarter over quarter sales. The make sales also continues to expand, but the objective of keeping the relationship with the customers with differentiated sales, offering some competitors in order to create longer term brand value, reflecting this, we reported. Point four million dollars of deferred revenue in this quarter, which would be recognized in future quarters as the services are delivered, revenues for the third quarter of 2019 for three point one dollars million, of which 2.8 million came from the sale of new taxes. [00:12:36] Those profit for the third quarter was point seven dollars dollars, which represents the gross margin of six point seven percent. Most profit in the third quarter was two point nine billion, with a margin of 32 percent negative in agency capacity for the ending sales in the third quarter of 2019 and under US Capsis in revenues for the quarter on that basis, which resulted in a day below the cost of revenues, expense and consequently a very high gross margin. As I pointed out on prior calls, the dollar amount of the gross profit earned by the cash generators are identical regardless as to whether the revenues and the purchase of a are next. Third quarter operating expense was twelve point seven million dollars as compared to twelve point three million in the same period in 2019. Third quarter includes a one point three million expense for early stage four, ending work related to designs for the blended battery and hydrogen powered trucks and busses. Casualties in the third quarter were four million dollars, which reflects the costs associated with an enhanced investor relations program to raise the profile of the company to the investment community with the objective of aiding capital raising efforts. That's the response to the class action lawsuits and the different parties, as well as generally heightened corporate activity in fundraising and M&A. [00:14:09] As previously announced, Syntex Village is considered to be a non core assets, and we commenced an active military presence to sell the sites and appointed the TULLIUS commercial real estate brokerage firm to run the marketing effort. Their efforts have produced some promising indications of interest, which management is in the process of evaluating. As a consequence of the decision to sell the site, welcome development, we will off capitalized architect fees and the one remaining building on the site. The amount of this impairment charge was three point three billion dollars, which was all non-cash. We recorded a gain of four point two million dollars to reflect on the measurement of the Erdos contained in the three technologies acquisition equipment. We remain highly confident about the long term potential of new technologies or delays in delivering on the business plan are projected to reduce those payments due to the selling Cherryholmes. The loss from operations with 12 million dollars as compared to nine points in the prior period, increased operating losses almost entirely due to the local staff at. Turning to the interest and other income and expense section of the income statement. Interest expense for the period was two million dollars, which was non-cash and represents the expense when US accounting guidance is applied to the provisions in the company's remaining convertible debt. We recorded a noncash gain of five point three billion other income related to the successful negotiations to terminate the lease of the company's prior office building downtown New York City. [00:15:49] A new office reflects the workplace dynamic in which we, which we anticipate will continue to see the future, which come at a very significant cost savings. Now, I'd like to turn to the balance sheet, we ended the quarter with twenty seven point six million dollars in cash. Goodwill of ten point five million dollars is lower by twelve point eight million as compared to December 31, 2013, balance of February that. The change reflects the finalized purchase price cancelation for the company's chief technology technologies acquisition. In the current liability section of the balance sheet and contingent consideration of four point one million is lower by eight point three million as compared to the year end balance of twelve point four million. Principally reflecting the payment of the consideration for divorce by way of issuance of common stock. In conclusion, the third quarter was one of the milestones achieved, the highest revenues for make since the business commenced operations. Extension of makes products and services to provide additional revenue streams, more value to customers and strengthen our long term relationships. Continued operating costs from seven point six million annually. Active M&A pipeline of opportunities that meet the full investment criteria set out by Alpha Disprovable. That concludes my remarks and I will hand it back to Tony.
Tony Sklar : [00:17:24] Thank you so much, Kyra. This concludes management's prepared remarks. Now, I'm super excited for us to be able to answer some of our investor and analyst questions. So, operator, if you could give everybody the instructions on where they submit, we'll get to it.
Operator: [00:17:41] Thank you, sir. And at this time, we will conduct our question and answer session. If you would like to ask a question, please. Press star one on your telephone keypad. That's a star key, followed by the number one key on your telephone keypad. A confirmation tone will indicate that your line is in the question queue. You may press star followed by the number two key. If you would like to remove your question from the queue. Participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Once again, to ask a question, press star one on your telephone keypad, one moment, please, while we poll for questions. Thank you. Thank you. And our first question comes from Damon Felton. Please go ahead.
Unidentified Analyst: [00:18:44] Yes, you. Yes, we can anytime and how are you? I'm doing well, how are you? But I just I just have one question, really, from where do you see the company company in the next five to 10 years?
Alfred Poor : [00:19:02] I would obviously anticipate us being a significant company in the next five to 10 years, we'll be getting there in a meaningful way much sooner than that, in my opinion. We're starting to see the commercial activity for every pick up in the same way that the passenger car does take. A lot of people see the passenger cars and say, why isn't adenomas moving that fast? Well, we're not in the consumer space. And if you look at most of the TV and in the commercial space, they're just taking orders at this time. We're actually starting to execute on that pipeline, as you saw. So I think in Twenty twenty one, we're going to start to see the energy revenues come online from that side of the business as we get more, because commercial customers out to market and Ive's and I think you're going to see the company benefit from the last couple of years of the infrastructure we put in place. You heard him mention it. So did I, talking about the sales, infrastructure and other things where we're preparing the business to scale at this point in time. So, you know, we're anticipating growth to come behind that. And one of the reasons why we raised the cash in the early summer was to support the additional stuff we need to bring on board in the short term and to look at some other strategic opportunities as the the market unfolds. It's a new market. So we do get changes, as you've seen with the dynamic I've spoken about, with the financing for the big ticket holders. But we're obviously taking steps in every angle that we can to make sure that we're out ahead of the market in that regard. And you're going to start to see as the commercial market comes online, more meaningfully, companies like that INOMAX very much in the ascendancy.
Unidentified Analyst: [00:20:42] All right, thank you very much.
Operator: [00:20:46] I think your next question comes from Susan Moreau, please state your question.
Unidentified Analyst: [00:20:51] Have a great quarter as far as earnings per share. I'm really glad to see it moving in that direction. My concern is you've been awfully quiet. Management has not been doing its usual communication with investors. And I notice there's an FCC investigation that you've noted on the Q Wondering if you can provide some light on that and when we can start hearing your wonderful voice and peers more often.
Alfred Poor : [00:21:17] Yes. Thank you very much for joining us and thank you for that question. Yeah. Obviously, you know, when you have China based operations and you know, you have events happen, negative events happen like the short selling of time and you catch these things attention. We've had a good, good relationship with the FCC. Obviously, we can't discuss ongoing matters. But as much as I can say at this point, as you know, we have reached out to the FCC to ask them what else we can be doing to help conclude the inquiries. And, you know, we're we're a public company. So very much, you know, their entitlement to ask the questions that we just.
Unidentified Analyst: [00:21:56] Interestingly, you've got other companies that are in a very similar position financially as far as negative earnings and not quite yet profitable, yet these companies are going gangbusters as far as their stock price. What do you say to investors who are holding on? We're barely at a dollar and you've got a company like workers and others not you know, not that they do the exact same thing, but they seem to be doing a really good job reaching their investors and rallying to investors and to hang with them. And and we're not doing that. What can you tell us about what's.
Alfred Poor : [00:22:32] Yeah, I think, you know, perception is reality. So I would say that, you know, you often get the stock price that you deserve something that's not the case in the short term. What I would say to you is, you know, folks looking at a lot of these companies in the space of an imperfect understanding of the automotive industry, you know, you've just seen some moves made by Volvo, by Ford and others who have market caps, so often a fraction of some of the astronomical valuations and share prices that are out there at this time. There'll be consolidation. There'll be a market correction against some of those. I think people are looking at the consumer vehicle sector, particularly Tesla, Neo, and saying, wow, everything the related must be on fire. I don't think it looks quite that way in the commercial sector. And as I said, a lot of people are not looking at what we consider to be the crown jewels here, and that is the energy consumption. Remember, even automotive is great, but manufacturers go through cycles of boom and bust over the decades. ExxonMobil, Shell, BP, these people don't. And it's going to be the transition and the energy man and the demands of the people that play in that space. I think it's going to be the real winners. That's something I understand. It's something Tesla understands very well. That's why it has a closed network for charging and it's beginning to pick up metering licenses in Germany, Australia and places. But most of the market doesn't get on the high asset heavy automotive company won't be able to participate in. So so that's where we think we're different. We found this within a public company by transforming the business. Not having a blank canvas doesn't give you kind of the same clear runway as a lot of these companies have had. But we're very proud of what we're doing. We're making mistakes at scale in China right now. So when we come to copy and paste our operations globally, I think people understand what we've been trying to put together, the infrastructure we have in place. And we expect to begin the we expect to start in ascendancy and we expect those astronomical valuations to start to come down as well. So I think you'll see a lot of normalization in the market in Twenty twenty one.
Unidentified Analyst: [00:24:39] Thanks.
Operator: [00:24:44] Our next question comes from Chris Clade duty, please state your question.
Unidentified Analyst: [00:24:50] Yes. Hey, Tony, I finally get to speak to you. I've got some questions following on Susan's questions just about general business updates. Is there any more color you can add to the spin offs of the D.C. inventory and the updates? They're just looking for any any kind of guidance you can give us as far as what your plans are?
Alfred Poor : [00:25:18] Yeah, I mean, obviously, we we can't speak about events before they unfold, I don't want to jump the gun on anything but but needless to say, anybody with any assets in the space has been approached for some interesting conversations at this time. So, you know, we'll let you know more when we're able to. But but obviously it would you know, I can't come out and declare anything before we're ready to disclose it because we're a public company. But there's some interesting conversations out there, not just for us, but for anybody with the assets of this time.
Unidentified Analyst: [00:25:50] Ok, understood. Thank you. Thanks.
Operator: [00:25:57] Our next question comes from Chris Sarnie with me. Please go ahead with your question.
Unidentified Analyst: [00:26:03] Good afternoon. Can you provide additional clarification on the 12th to see not only us, specifically to the financing and charging pieces in the US, need to be a separate standalone operation to be successful?
Alfred Poor : [00:26:19] We don't believe they do, Connor and Kate Lamb, who heads up our Capital Group, having a lot of interesting conversations with the financing parties over here. We're beginning to help them understand how the model thing working in China, what the challenges have been as the market is developed, particularly as it pertains to battery technology getting faster, more durable and cheaper year over year. So those guys have been having the conversations they need to to make sure we have the finance departments in place as we bring them to DC and select track track as well. We believe the SWC model is a strong one. We believe it will translate directly into other markets. And and as I mentioned in my remarks a few moments ago, MBG will will be here to support the thesis. A product company image is a service company. So there's always going to need to be a service. But MBG won't only support the select track to electric, et cetera. The needs of commercial fleet operators are not going to be able to be serviced by by one particular company that you go out and you meet the fleet operators and you talk to their management teams, you understand they get a range of vehicles in from a variety of manufacturers. That's why I think can continue to be interesting. Not only can it finance their own vehicles, but it can finance the other vehicles for other manufacturing partners to complete their fleet operations needs. And I think, you know, obviously the holy grail that we're trying to do is give them that sales and financial support services in order that we can we can take care of their energy demand and help sell them electricity products. So I think that's why we're strong on what we think. Meg ultimately will likely be our largest revenue producer, given that it will be selling the energy demand as well. So, as I said, we're starting those conversations now in other markets to make sure that we're ready to move with Michael when somebody to of us come online.
Unidentified Analyst: [00:28:28] Thanks and a follow up to that would be the fleet operator adoption of Swift to see. Can you maybe give us some type of metric or expectation of what that would look like in terms of quarter over quarter growth going forward, like how many have been engaged so far? And what can we expect in the coming months?
Alfred Poor : [00:28:48] What I what I can tell you at this point, I can't give you any any of those types of numbers at this time. But what I can tell you at this time is that the fleet operator is having the same type of discussions with us as they're having in the US is the happy with us and China and other markets, which is they need service providers to assist them, to understand the manufacturer landscape, understand the financing landscape, understand the rebates and the tax incentives landscape. Those areas continue to be very interesting. And obviously, if they can benefit from our group purchasing of electricity to supply it to them cheaper than they can probably get direct, then that's obviously something that's very interesting to them. CROI is one of the biggest hopes for the fleet operators communicate to us not only reduce energy costs, but introduce some time off the road through vehicle maintenance, which obviously some combustion engines on quite a superior is CVS's in terms of motors and mechanics. So we're anticipating the trucks will be both on the road more and longer lasting than to their ICE counterparts. So the conversations very, very similar. It's going to be all about service level costs and what they can get for that cost to the airlines that they achieve. And and that's why we believe it's going to translate over as well.
Unidentified Analyst: [00:30:14] Thanks and one follow up, if I may, can you just confirm whether the Beijing Central Fund over Bustelo selective?
Alfred Poor : [00:30:23] Central theme over is a financing company, we do still have an active relationship with them. They are one of the companies that has been working with us to discuss how to deal with this dynamic in China, which is the least financing. Companies don't want to underwrite the finished product at this time because the batteries are getting cheaper and better a year over year. So that's what I've been talking about now. And that this dynamic in China that we expect, at least in the short term, to translate to the other international markets, which is the battery will be will be sold as a service until, you know, the consumer or the fleet operator can purchase, knowing that, you know, he's got something that isn't going to change in terms of value or or, you know, durability and range and things like that six months after he's purchased it. So so that's really the big dynamic that's taking place in China. We expect that to be the same year over year. The techs getting much better for not only the battery, but for the charging and the energy management as well. Until that stabilizes, I think you're going to see a dynamic where the battery is going to be more at least as a service for three or four year periods and purchased as part of the finished product.
Unidentified Analyst: [00:31:33] Thank you.
Operator: [00:31:35] You're welcome. Thanks. Thank you. Our next question comes from David Joseph. Please go ahead.
Unidentified Analyst: [00:31:40] Back today, thank you, Mr. Kirks, congratulations. I thought the quarter was very good. You guys are going in the right direction with the growth of the company. My question is related to the United States. Change of the political situation has changed. It appears that the new government appears to be in place, will be in place, apparently is very proactive in the electric vehicle space and that they're going to be pushing out incentives and tax breaks for corporations in that do. How do you see the D.C. model works in that in that light, as well as solar truck and the American market going forward? And are you expecting to see start to transpire in twenty, twenty one? And number two, you mentioned in the last quarter mergers and acquisitions were also on the to do list to comment on that as well, please.
Alfred Poor : [00:32:32] Yes, certainly. Thanks so much, David. Interesting questions and I'm very happy to answer them. The first part is we don't really know what the next administration will do. And you have to try and plan around and the administration as it comes in, certainly the the noises coming out of the Democratic Party is that if they were in government, they would be taking certain measures. And they do tend to be probably one could also argue they'll be more pro China, which has been a difficult dynamic with the current administration for for company with operations in China, as we have. The answer is, I would generally say, based on holding those politicians true to their word. And I don't know if that's anything anyone can ever really, really do, but without wanting to get into political discussion. But but, you know, typically, I think we'd expect them to at least partially take care of the promises they made during the before election. The one thing I would say that's the dynamics now that we can understand is the economy at the state level and not in good shape. But it's been pretty hard, you know, the same as like the movie industry looks at Tesla now and says, you know, what's going on to the rest of everybody else. Well, you look outside the tech sector, one or two others, and, you know, you could say the same thing, like what's going on with the rest of the economy. And I just I don't know from the conversations that we're having that a lot of these states are going to be able to afford extending their programs in twenty, twenty one. We certainly hope they will be able to. We don't anticipate that hitting us terribly if they don't. But that would be the one thing that I would be concerned about is will at state level, will they be able to afford the tax incentives and they've had the last few years?
Unidentified Analyst: [00:34:16] Very good and merger and acquisition activity, I recall that when you had the 35 million dollars in the last quarter that you guys were potentially looking at mergers and acquisitions. And I didn't hear anything about that in this quarter. Is that still on the to do list?
Alfred Poor : [00:34:33] Yeah, there's obviously we think there's some amazing opportunities out there. I just mentioned that, you know, there could be some states unable to continue with the rich subsidies they've been giving in Twenty twenty one because their economies are not great. They need they need more tax dollars to support them in the same in the same way that some companies out there with some amazing technology that, you know, are, you know, relatively well priced right now and a good strategic fit for growing companies like that. So we're very active. We've added to the corporate development team recently because of a pickup in activity. But we continue to have our own conversations as well, as well as be approached by advisors looking to looking to get our interest in companies, in their portfolio, companies that they contracted to. So it's an area that I would expect to see additional activity from us in the future.
Unidentified Analyst: [00:35:25] So very good and close and congratulations, 230 percent increase over the quarter, I think is excellent. And you guys are going in the right direction.
Alfred Poor : [00:35:34] Yes, absolutely. Thank you very much, David. Much appreciated.
Operator: [00:35:38] Thank you. And just a reminder to ask a question, press star one. Our next question comes from archean, Please state your question.
Unidentified Analyst: [00:35:49] Hi, this is Art again, thank you for taking my taking my call. Can you hear me? Fine.
Alfred Poor : [00:35:55] Yes. Hi, how are you? [00:35:57] I'm doing good, Alfred. I wanted to touch back on this because I haven't heard anything. I had emailed you on the insider buying, you know, 12 months ago. You guys said you were working on it. I have a second email on a you know, six months ago. You guys are still working on insider buying. I believe if you guys do this in the open market, confidence will go through the roof to shareholders and institutions because it shows them, hey, look, these guys are buying because they believe they're going in the right direction. Can you maybe elaborate on this a little more broadly? Obviously, based on my experience.
Alfred Poor : [00:36:36] Be very pleased to speak about the South. Actually, there's a phone call being filed for me today that shows some some buying I was able to do. I purchased a number of my share options for the recently invested, really. But in terms of like. Yeah, but but in terms of market biase, I believe that was sold off the market, Tony would be able to confirm that some.
Unidentified Analyst: [00:36:58] Yes. Yes.
Alfred Poor : [00:37:01] Ok, thank you. But in general terms, I would say that we're working with a large institution right now to move our our share plan over from the existing incumbent vendor over to them. Part of that is they offer an extensive service around twenty five plans. Those are ones where, you know, individuals such as myself and the company wouldn't be subject to what we are at the moment, which is I'm in constant receipt of material, nonpublic information. Again, Sir David Jones point on the previous question. We're having a lot of conversations around M&A, strategic partnerships, those types of things. There is no window that I can I can buy or sell. I can buy my options because they were already disclosed to the market. So that's what I did today. And Connor and the team are in the throes of getting the finalization for the twenty five plan, as well as the share management plan put in place with with a much larger vendor than the company that we've been working with. Once that's up and running, then that'll be an opportunity for us to announce ahead of the market that buys and sells so we can say, OK, I am of course going to buy some shares every month, first month of the month or something like that. And then that's the only other way you can get away with doing it in a in a compliant manner when you're in constant receipt of material, nonpublic information. So it's taken us a lot longer to do that. There's been data, export and import files and all sorts of things we've had to deal with and have to work with third parties on. But I won't bore you with the details. But to say we've worked hard and they have they have weekly integration calls with the new the new plan provider that's going to be getting something like that. Except I don't know if you can speak to when you're hoping that will be live, but I know we're close to finalizing.
Unidentified Analyst: [00:38:48] And as though he lives in the second part of December and as part of the second part of December and as of last year.
Alfred Poor : [00:39:05] Ok, yes. So the 25 will be in place soon. That'll allow more, you know, allow some more structured and compliant approach to the management and staff to be able to buy the stock. Like I said, in the meantime, I went ahead and bought some of my share options, the vests and and those got announced today. So so apologies for the delay on that. These things always take longer. Moving away from the incumbent hasn't been easy. That never motivated to let you take the business away. So but we're in the final stages of that. And that should be ready, as as I said, from December.
Unidentified Analyst: [00:39:39] A quick follow up to that, it's more of a short and short question, we also have 20 million, something like that, in cash. Do you see the company also announcing like a share buyback in the open market? You would see shareholders happy because they would say, hey, you guys are buying in the open market. I mean, that 20 million, if you just bought at these prices, you probably get, you know, five million shares off the float, which would be great.
Alfred Poor : [00:40:10] Yeah, I think that's something we'll have to arm wrestle with, Conor McCarthy, you know, as and when the when the revenues increase. I mean, at the moment, everybody else around us has raised a lot of cash. So that can be that can put us a little bit on the defensive depending what moves they make. So I'm not sure with just 20 million in the bank, we'd we'd make moves like that at this point. But certainly it's something we discuss in terms of our long term planning as we start to ramp up the sales and the profitability of the company share buyback. [00:40:37] So one of the one of the items for discussion for sure, I think I mean, I think when we look at your suggestion, we need to look at the landscape of opportunities for investment. And the end of the day, we're trying to maximize returns to shareholders. And if, as its strategic investments that meet as criteria that just discussed, that would be something that would be the first to call our cash to invest, because that is. That's a long term goal for everybody and their social value.
Unidentified Analyst: [00:41:23] Thank you. Great.
Operator: [00:41:26] Ladies and gentlemen, there are no further questions at this time, I'll turn it back to management for closing remarks.
Alfred Poor : [00:41:32] Thank you so much, Diego, and this is all the time that we have for you today. This concludes the audience. Excuse me, Twenty twenty investor earnings conference call. We encourage our community to continue to reach out to us and we will continue to answer your questions on the basis you can send your questions to IRR at nomics dot com. Most of you have it at the top of your list every morning. Thank you so much. We'd like to thank our listeners, shareholders, analysts and others who have taken the time to listen to our earnings call. Today we refer to our latest FEC filings for any information that you need. This call will be available on the website for under the investor section and you will find the link there to be alerted to news events and other information in a timely manner. We recommend the following up on all of our social media channels, sign up with our newsletter and explore our website at W w w dot nomics dot com. Thank you, everybody, for participating and listening on the call today.
Operator: [00:42:29] Thank you all part of my disconnect. Have a good day.